Operator: Good day, and thank you for standing by. Welcome to the Second Quarter 2025 Steve Madden Limited Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Danielle McCoy, VP of Corporate Development and Investor Relations. Please go ahead.
Danielle Marie McCoy: Thanks, Stephen, and good morning, everyone. Thank you for joining our Second Quarter 2025 Earnings Call and webcast. Before we begin, I'd like to remind you that our remarks that follow, including answers to your questions, contain statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to materially differ from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we have described in our press release issued earlier today and filings that we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. The financial results discussed on today's call are on an adjusted basis, unless otherwise noted. A reconciliation to the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release. Joining me on the call today is Ed Rosenfeld, Chairman and Chief Executive Officer; and Zine Mazouzi, Chief Financial Officer and Executive Vice President of Operations. With that, I'll turn the call over to you, Ed. Ed?
Edward R. Rosenfeld: Thanks, Danielle. Good morning, everyone, and thank you for joining us to review Steve Madden's second quarter 2025 results. As anticipated, the second quarter was extremely challenging, driven largely by the impact of new tariffs on goods imported into the United States. As we highlighted on the last earnings call, our team moved swiftly to adapt to the changing landscape, sharply diversifying our sourcing out of China, negotiating meaningful discounts with suppliers and implementing surgical price increases. That said, wholesale customers canceled orders and reduced open-to-buys, shipment delays led to lost sales and pushed deliveries to later periods and organic gross margins declined due to the significant increase in our landed costs, resulting in substantial pressure on both revenue and earnings. Since the last call, our team has remained focused on mitigating near-term impacts while positioning the company for long-term growth. We've continued to move forward with our sourcing diversification efforts, although due to the agreement reached with the Chinese government to temporarily reduce the new tariff on Chinese imports from 145% to 30%. We have moved certain production for fall back to China, where we felt it would be difficult to ensure on-time delivery, appropriate product quality and/or reasonable pricing in an alternative country. For fall 2025, we currently expect to source approximately 30% of our U.S. imports from China, down from 71% for the full year 2024. We are also selectively raising prices to wholesale customers and consumers. So far, we've been pleased overall with consumer acceptance of the price increases, particularly on new fashion, but it's still early, and we will continue to monitor the elasticity of demand carefully and react accordingly. While these short-term mitigating actions are important, our team's primary focus remains on positioning the company for long-term growth by executing our strategy to deepen consumer connections through the combination of compelling product and effective marketing. Our design teams are delivering strong assortments, and we're seeing positive consumer response to new fashion offerings, particularly in the dress shoe and boot categories across both DTC and wholesale channels, including very strong performance in the Nordstrom anniversary event. And we are amplifying these assortments with marketing campaigns and initiatives designs to drive sustained brand heat and cultural relevance. In the flagship brand, we are capitalizing on Steve's appearance on fashion podcast, the Cutting Room Floor, which sparks viral interest on TikTok by continuing to rebalance our marketing spend across the funnel, increasing our investment in top and mid-funnel tactics and diversify our spend by channel, expanding our investment in YouTube, Pinterest and Snapchat. And these efforts are driving results with measurable increases in awareness and consideration for the brand with our key Gen Z and millennial consumers. Another key priority is integrating our new acquisition, Kurt Geiger, which closed May 6. The Kurt Geiger London brand continues to have strong momentum, and we are more confident than ever in its potential to be a significant driver of growth for the company in the years ahead. The integration is proceeding smoothly, and our teams are making strong progress on work streams related to revenue synergies, including expanding Kurt Geiger in international markets through the Steve Madden network and growing Steve Madden in the U.K. through the Kurt Geiger platform as well as cost savings opportunities in areas like freight and logistics. So in sum, our financial performance in the second quarter was not up to our usual standards as we grappled with the impact of tariffs, and we know the path forward will continue to be bumpy in the near term. But as we look out further, we believe our core strengths, powerful brands, a robust balance sheet and a proven business model supplemented by a powerful new growth engine in Kurt Geiger, positioned us well to navigate the current disruption and deliver sustainable growth over time. And now I'll turn it over to Zine to review our second quarter 2025 financial results in more detail.
Zine Mazouzi: Thanks, Ed, and good morning, everyone. In the second quarter, our consolidated revenue was $559 million, a 6.8% increase compared to the second quarter of 2024. Excluding the newly acquired Kurt Geiger, consolidated revenue decreased 10%. Our wholesale revenue was $360.6 million, down 6.4% compared to Q2 2024. Excluding Kurt Geiger, our wholesale revenue decreased 12.8%. Wholesale footwear revenue was $220.1 million, a 7.1% decrease from the comparable period in 2024 or down 11.7%, excluding Kurt Geiger. Wholesale accessories and apparel revenue was $140.4 million, down 5.3% compared to the second quarter in the prior year or down 14.6%, excluding Kurt Geiger. The majority of the organic decline in wholesale revenue can be attributed to order cancellations, lost orders due to delivery delays or pricing, shipments moved out to the following quarter and other impacts related to the disruption from tariffs. In our direct-to-consumer segment, revenue increased 43.3% to $195.5 million. Excluding Kurt Geiger, our direct-to-consumer revenue decreased 3% with declines in both the brick-and-mortar and e-commerce channels. We saw negative impact to DTC revenue in the quarter from canceled and delayed deliveries due to tariff-related disruption as well as systems migration we completed in the quarter. Looking ahead to the third quarter, we expect the continued impact from tariff- related disruption, but the systems implementations are behind us and should not have a further impact. We ended the quarter with 392 company-operated brick-and-mortar retail stores, including 98 outlets as well as 7 e-commerce websites and 130 company-operated concessions in international market. This includes 73 company-operated brick-and-mortar retail stores, including 27 outlets as well as 2 e-commerce websites and 72 concessions related to Kurt Geiger. Our licensing royalty income was $2.9 million in the quarter compared to $1.8 million in the second quarter of 2024. Consolidated gross margin was 41.9% in the quarter compared to 41.5% in the comparable period of 2024. The impact of tariffs, net of supplier discounts resulted in 230 basis points of pressure to gross margin. This was offset by a significantly greater mix of higher-margin DTC business compared to the prior year due mostly to the acquisition of Kurt Geiger and a mix shift to DTC in the existing business. Wholesale gross margin was 31% compared to 33.1% in the second quarter of 2024, due primarily to pressure from tariffs. Direct-to-consumer gross margin was 61.3% compared to 64.3% in the comparable period in 2024, due primarily to the addition of Kurt Geiger, which had lower DTC margin in the quarter than the existing business, driven by the concessions business as well as pressure from tariffs. Operating expenses were $211.6 million or 37.9% of revenue in the quarter compared to $162.8 million or 31.1% of revenue in the second quarter of 2024. Operating income for the quarter was $22.6 million or 4% of revenue compared to $54.5 million or 10.4% of revenue in the comparable period in the prior year. The effective tax rate for the quarter was 25.6% compared to 23.4% in the second quarter of 2024. Finally, net income attributable to Steve Madden Limited for the quarter was $13.9 million or $0.20 per diluted share compared to $41.2 million or $0.57 per diluted share in the second quarter of 2024. Moving to the balance sheet. Our financial foundation remains strong. As of June 30, 2025, we had $293.5 million of outstanding debt and $111.9 million in cash, cash equivalents and short-term investments for a net debt of $181.6 million. Inventory was $437 million compared to $241.6 million in the second quarter of 2024. Excluding Kurt Geiger, inventory increased 1% compared to the same period last year. Our CapEx in the second quarter was $7.7 million. And during the second quarter, the company did not repurchase any shares of its common stock in the open market. The company's Board of Directors approved a quarterly cash dividend of $0.21 per share. The dividend will be payable on September 23, 2025, to stockholders of record as of the close of business on September 12, 2025. Due to the continued uncertainty related to the impact of new tariffs on goods imported into the United States, we will not be providing 2025 financial guidance at this time. Now I would like to turn the call over to the operator for questions. Stephen?
Operator: [Operator Instructions] Our first question comes from the line of Paul Lejuez of Citi.
Paul Lawrence Lejuez: Curious if you can talk about which channels of wholesale where you see the significant order cancellations that impacted 2Q? And how has that ordering behavior changed as we've gotten a little bit more clarity on the tariff front? I think you mentioned some shipment timing. So if you can maybe just talk about that a little bit more. And then also on the gross margin pressure in the core business in the second quarter that you saw as a result of higher tariffs. Can you frame maybe what you expect in 3Q and 4Q relative to the 2Q pressure?
Edward R. Rosenfeld: Okay. Great. So in terms of the channels that saw the pressure from the tariff-related disruption, it was really very concentrated in the value price channels. So specifically the mass channel and the off-price channel. And I can tell you actually that nearly -- if you look at the wholesale revenue shortfall in the organic business versus last year, approximately 95% of that shortfall came from off-price and mass. So I think that really illustrates the story there. In terms of how that's looking going forward, I still -- I think we're going to see continued pressure on those channels going forward. It should get better. There was a complete pause for a period there, and both of those channels are now once again taking in goods and placing forward orders, but you will see an impact in Q3 as well. In terms of the gross margin pressure from tariffs, again, we articulated that was about 230 basis points. That's not the gross. That's the net after we got the supplier discounts for Q2. Look, we're not providing guidance going forward. So we're not going to be specific there. But I think that you should still see -- you're still going to see a significant impact certainly in Q3. Hopefully, by Q4, that number will start to get smaller.
Paul Lawrence Lejuez: Does 3Q mark the weakest point in terms of the tax impact on gross margin at 3Q?
Edward R. Rosenfeld: Again, I'm not going to try to get specific and there's so many moving parts here. But certainly, I don't think it will get better.
Operator: Our next question comes from the line of Aubrey Tianello of BNP Paribas.
Aubrey Leland Tianello: I wanted to go back to your comments on price. And if you could maybe comment a little bit on just the consumer response to price increases, what you're seeing in terms of elasticity maybe by product category. And I think last quarter, you mentioned price increases on average about 10%. Is that still the way we should think about it given the change in tariffs?
Edward R. Rosenfeld: Yes. We are still looking at average price increases of 10%. Again, that's not a one-size fits-all number. We're looking at this on a style level. But in average, we're looking at prices up about 10%. So far, I think we've been pretty pleased with the consumer acceptance of the price increases that we flowed through. It's been pretty much what we expected that we've seen very little resistance on new fashion items and particularly in the categories that are really trending like dress shoes and our summer boots that have been performing very well for us. And I would say where we think there's less ability to take price was in the sandal category and in fashion sneakers. But I do want to caution you that it's still early because we started to layer in these prices in May, but on new deliveries in May, now that's really at the end of the season and then so you -- and then you go into sort of a markdown period. So we really won't know -- I think we'll know a lot more, I should say, once we get fully into the fall season, and you've got all the new deliveries in fall at the higher prices. And also, you'll have our competitors will have their products out there, as we believe, higher prices, and we'll see what the consumer does then.
Aubrey Leland Tianello: Got it. And then maybe on Kurt Geiger, you called it out as being on a journey to being a $1 billion brand. Now that you've owned it for a few months, can you talk about some of the things you've learned and how you're thinking about that path to potentially getting to $1 billion in revenue from Kurt Geiger?
Edward R. Rosenfeld: Yes. Look, I mean, I think that we we feel better than ever after having spent more time really digging into the business here and working with the team. It's a very strong team, and we just believe that the brand has tremendous runway. The U.S. business has been such an incredible growth story for them over the last several years, but it's just scratching the surface of what it can be. And frankly, there's still a relatively low brand awareness. So one of the things that we really have to do in the coming years in the United States is to build that brand awareness. I think that retail stores will be an important part of that. They've opened now 6 retail stores in the U.S. that are performing very well. So I think that will -- and they're beautiful stores and really communicate -- it's really the best expression of what the brand is about, and I think communicate to the consumer what the Kurt Geiger lifestyle is about. So that will be a part of the story. Obviously, there will be some marketing investment. I think we'll focus on full-price stores initially, but clearly, I think there's an outlet store opportunity that should be big and profitable over time. They've got a very good wholesale business in the United States with limited partners and they've built a big business with just a handful of partners. And so I think there's some nice opportunity to grow that as well. And then, of course, the digital business is -- I probably should have said that first, because that's extremely important and has extremely strong momentum. And so we're going to continue to fuel that. So that's the U.S. story. I think -- but there's also a huge opportunity around the world. Because, obviously, they've got a very strong business in their home market of the U.K. but relatively early stages of their growth in the rest of the world. And we've talked about Europe as being a huge opportunity for them. They're positioned in the key distribution points, image accounts in many -- most of the key European markets, and the brand is seeing very strong demand. So we know it resonates. But there's a big opportunity now to expand the distribution thoughtfully, of course, and really start to build that business. And then we've talked about they're having a lot of success in Mexico, for instance, but there's tremendous opportunity in the rest of Central and South America, I should say. And then Asia is really untapped. So a lot of just tons of runway really all over the world with this brand.
Operator: Our next question comes from the line of Marni Shapiro of The Retail Tracker.
Marni Shapiro:
The Retail Tracker: I was wondering if you could just talk about a couple of quick things. The apparel business, you have -- I know it's a smaller part of the business, but you have an improving footprint in several stores and the product flow has been consistent and very good. So I'm curious if you could talk a little bit about that. And then also just touching back on the boot business. You had a strong boot business in spring. I was curious if it held through summer. And as we sort of turn the corner to back-to-school, what are you seeing as far as boots versus sneakers and just your instinct as to where the business is going for back-to-school? .
Edward R. Rosenfeld: Sure. Yes. No, I appreciate your comments about Steve Madden apparel because we're proud of the progress that we're making there. That was one of the few businesses that was up for us in the quarter. So even in this tough environment, we had a nice revenue growth in Steve Madden apparel. As you pointed out, we've been slowly expanding the distribution there and keeping it in premium distribution, regular price distribution, but expanding the footprint there, expanding our assortments within existing doors. And most importantly, the product is selling through, and the team is doing a great job. So excited about the path that we're on there. And then you asked about boots. And yes, that was really a highlight for us -- has been a highlight for us this spring and summer is the performance of boots. It's really not such a seasonal category anymore. Girls are wearing a lot of boots with dresses and shorts and skirts and at this time of year. And I think we've really nailed that. It's a bigger play for us in our DTC channels than in wholesale because some of the wholesale partners are -- haven't fully gotten on board with the way consumers are shopping right now. But it's been very successful for us. These are primarily tall shaft boots, Western Moto, et cetera, have been very good for us. And so we feel good about boots going forward. And to your point, we've seen more energy in that category. That's been on the upswing, whereas the fashion sneaker category has softened a bit.
Marni Shapiro:
The Retail Tracker: That makes sense. And then could you just follow up? I think you said it was the off-price and the mass business that was slowing. And I think you mentioned very briefly -- or one of you guys mentioned briefly some cancellations. Were the cancellations coming out of the mass area? And is something -- is it their customer? Or is it just their caution or price increases that they can take? I'm curious what they're saying and seeing versus what the department stores are seeing.
Edward R. Rosenfeld: I would say there were cancellations across channels, although, again, the biggest issues were in mass and off-price. And particularly in Q2, I just want to point out with the mass channel because we do that -- a lot of the business that we do in those channels on an FOB basis where our wholesale -- where our customers are bringing the goods in and they are the important record and therefore, they are responsible for the tariff. Certainly, when we were looking at 145% tariffs out of China, they were canceling a lot of merchandise. So that was a lot of what you're seeing there.
Operator: Our next question comes from the line of Sam Poser of Williams Trading.
Samuel Marc Poser: I just want to follow up on that last question. You talked about the 95% of the downdraft was from those channels. Were there channels that were up in the quarter? And if so, what within wholesale or brands that were up like Steve Madden, the core Steve Madden business or Dolce and so on?
Edward R. Rosenfeld: I think Betsey Johnson was up in the quarter. We're really outperforming there. The team is doing a great job with the product there. Other than that, I think the key brands and channels were down in the quarter.
Samuel Marc Poser: And moving on to the sourcing. What's -- you were moving product to -- you were moving some product to Brazil, and now Brazil looks like an absolute headache. So how are you thinking about the shifting of sourcing -- because I thought Brazil and Mexico were going to become a much larger part, but now it looks like a 50% tariff might put a [indiscernible] on some of that in Brazil. So I was just wondering where you're going with that.
Edward R. Rosenfeld: Yes. To your point, we were focused on moving a lot of product to Brazil. We're going to have to wait and see what happens. I think that really goes not just for Brazil, but for a lot of the countries that we work with. So we've tried to create a more diversified sourcing footprint. And -- but there's obviously a lot of uncertainty still about where the ultimate tariff rates will land by country. And so we're going to have to wait and see what happens and then react accordingly. That's all we can do.
Samuel Marc Poser: And when we -- I know you're not guiding, but when we look -- it sounds to me like from a wholesale perspective, excluding Kurt Geiger, it looks like -- I mean, it looks like the back half of the year, Q3 will look similar to Q2 and maybe slightly less worse and then there could be -- I mean, how are you sort of thinking about it? Just -- I mean, I know you don't want to give us guidance, but how are you sort of thinking about the responses that you're seeing and so on right now from more on the wholesale side of things?
Edward R. Rosenfeld: Well, yes, we're not giving guidance, but I think you should assume that there will be continued impact from the tariff-related disruption. I think that's all as much as we're going to say about that.
Samuel Marc Poser: And have you seen it hit the consumers yet? Or is this more like nervousness from the -- from your wholesale partners ahead of what they're nervous about with consumers, if that makes sense?
Edward R. Rosenfeld: Yes. Overall, I think the consumer is basically hanging in there. I would say it's not the most robust consumer spending environment for fashion I've ever seen, but it's okay.
Samuel Marc Poser: And then lastly, within your DTC business ex Kurt Geiger, can you talk about maybe a variance between what the store comps were and your e-commerce comps were in the DTC business? Were store -- did the stores outperform e-commerce -- or did e-commerce from a year-over-year outperform...
Edward R. Rosenfeld: E-commerce was quite a bit better than stores.
Samuel Marc Poser: For the core Steve Madden, excluding Kurt Geiger?
Edward R. Rosenfeld: Correct.
Operator: Our next question comes from the line of Corey Tarlowe of Jefferies.
Corey Tarlowe: Just had a question for you on inventory. Is there any way to dimensionalize what was AUR versus units and the Kurt Geiger acquisition, just so we can have a bit of a more color and dimensionalization of what that up significantly number, what that number kind of dissects into?
Edward R. Rosenfeld: Yes. So look, if you back out Kurt Geiger, the inventory was only up 1% year-over -- versus the Q2 of last year. And keep in mind, there's a couple of things impacting that. One is the tariffs that we pay, those inflate the inventory value or increase the inventory value. And then also, there's an impact to -- in transit from longer transit times. And there's really 2 pieces to that. One is as we diversify the transit times for our sourcing, the transit times from Cambodia, for instance, are longer than the transit times from China. And then also there -- just because of the overall disruption, there's sort of apples-to-apples increase in transit times. So China to China is a little bit -- it's about 3 days longer and so does Cambodia than it was a year ago. So those are really the 2 reasons. If you back those out, our inventory year-over-year, excluding Kurk Geiger, is really right in line with the revenue decline.
Corey Tarlowe: Okay. That's really helpful. I was wondering, could we also just run through a similar exercise with the OpEx as well because that was also up quite substantially, and it would be good to get a bit more color as to kind of what drove that.
Edward R. Rosenfeld: Yes. Excluding Kurt Geiger, OpEx was up a little less than 3%.
Operator: Our next question comes from the line of Janine Stichter of BTIG.
Ethan Siavosh Saghi: You have Ethan Saghi on for Janine. For my first question, I was just wondering on Kurk Geiger. Could you provide some more color on how the brand has performed since the acquisition closed as well as the current margin profile for the brand and where China sourcing sits today compared to the 80% number you gave last call?
Edward R. Rosenfeld: Yes, the brand continues to perform. As I mentioned, we continue to see very strong growth, double-digit -- strong double-digit growth in digital. Particularly in the U.S., very strong performance and momentum there. As I mentioned, the new stores that they've opened are performing extremely well, ahead of where we expected them to be and on track to drive very strong 4-wall profitability. And then the brand is comping positively in the home market of the U.K. and its existing footprint. So continue to feel very good about the momentum there. In terms of the margin profile, again, look, we're not providing guidance, but what we've said, just to remind you is that last year, the business had EBIT margins of about 9.3%. That was in the year prior to our acquisition of them. We do expect that number to come down a bit this year because of pressure from tariffs. But obviously, over time, we think we can -- this will be double digit and then profitability.
Ethan Siavosh Saghi: Got it. And then on the China sourcing, just where it sits today compared to the 80% number you gave last call.
Edward R. Rosenfeld: Yes. I am sorry. Yes. So I think that they're in the low 60s currently out of China.
Operator: Our next question comes from the line of Anna Andreeva of Piper Sandler.
Anna A. Andreeva: To Zine. Just a follow-up on DTC on systems implementation. Did you say what that impact was to the second quarter? And curious what are you guys seeing in the DTC business quarter-to-date? And then to Ed, you've talked about getting back to double-digit margins in the past. Can you just talk about how we should think about that path of a margin recapture and just any time frame that you guys could provide?
Edward R. Rosenfeld: Sure. Yes. Yes, I'll take those. So in DTC, yes, we did do -- we completed an ERP implementation in our DTC business and also a new POS in Q2. And I think the team did a great job. But as always, there's going to be a little bit of disruption. There were certain related to sort of moving inventory around, and we were limited in what we could do from an allocation standpoint for a period, couldn't do the fulfilling e-commerce orders from stores from a certain point, what we call send sales where we take an order in a store and send from another store. So anyway, we were limited for a period of time. We estimate that hit us about 110 basis points of comp in the quarter, something like that. And then we also had inventory disruptions from tariffs in the quarter. That was probably another 160 basis points or so, because we canceled orders or had delayed orders because of the tariff disruption. So that did impact DTC in the quarter. But the good news is the system stuff is completely behind us, and we don't expect that to impact us going forward. We have seen a slight improvement in July versus Q2 in terms of comp quarter-to-date. In terms of getting the overall margins, EBIT margins back to double digits, look, there's no way we can provide any kind of time frames right now with all the uncertainty until we understand what the tariff regime is and can react to that, we can't provide any color around that. But as soon as we know what the rules of the game are, we'll be happy to tell you the path and the timing.
Anna A. Andreeva: Okay. That's very helpful. And just as a follow-up, do you think KG should be a higher-margin business over time than the core business?
Edward R. Rosenfeld: I certainly think there's an opportunity for it to be, yes.
Operator: Our next question comes from the line of Tom Nikic of Needham.
Matthew Julius Quigley: This is Matt Quigley on for Tom. Can you just talk a little bit more about how the international business performed in the quarter, excluding Kurt Geiger you've seen any differences in performance by region?
Edward R. Rosenfeld: Yes. We continue to see nice performance in our international business. Excluding Kurk Geiger, it was up about 8% in revenue or about 10% constant currency in the quarter. And we're on track to have high single-digit growth for the year in dollars, again, double digits in constant currency. And it's really -- we're seeing growth across all of the 3 primary regions. So EMEA, APAC and Americas ex U.S., all on track to see that kind of high single-digit type growth in U.S. dollars.
Operator: Our next question comes from the line of Dana Telsey of Telsey Advisory Group.
Dana Lauren Telsey: As you think about current trends Z, how was the Nordstrom anniversary sale? Is there any indicators from that as I've always thought about it as a read forward to potential holiday and what you're seeing? And then when you think about the trends at Kurt Geiger and what you're seeing sell-through there, how is it different or the same of what you're seeing with your brands? And then a follow-up.
Edward R. Rosenfeld: Sure. Yes. The Nordstrom anniversary event went very well for us. We're really excited about what we saw there. I think it was the best sell-through performance that we've had in that event in a number of years. And so that gives us a lot of optimism going forward about fall and the products that our design team is creating. In terms of KG -- excuse me, Kurt Geiger sell-through, again, continues to be very strong, as we said, overall. And it's just a brand with very good momentum. But we're seeing good strong sell-through in Steve Madden and Dolce Vita and other brands as well.
Dana Lauren Telsey: Got it. And then on Kurt Geiger, the small portion that is in the U.S., are they -- are you increasing the prices a similar amount to what you're increasing for Steve Madden? And when does distribution of Kurt Geiger in any format, how do you see that expanding in the U.S. in terms of timing-wise? Is it this year or next year?
Edward R. Rosenfeld: Yes. In terms of price increases, it's pretty similar to what we're doing in our other brands, maybe a little bit more. In Kurt Geiger I think we have a little bit more room there. And so we'll probably test going a little bit higher there. And then in terms of distribution, I think in the U.S., the big difference would be just opening more of our own retail stores over the -- in the coming years.
Operator: Our next question comes from the line of Jay Sole of UBS.
Unidentified Analyst: This is Natalie [indiscernible] on for Jay Sole. I wanted to ask about the amount of inventory you have on hand, especially for inventory coming from non-China. I mean do you have enough to last you through Q3 before the higher rates we're seeing from Cambodia, Vietnam and other countries go into effect? Or when would you expect the higher rate to kind of start flowing through the P&L?
Edward R. Rosenfeld: Yes. Most of what we're going to deliver in Q3 would not be impacted. But as you know, we turn our inventory very quickly. And particularly in our wholesale business, we turn our inventory in and around 10 times a year. And so we do feel these impacts from tariffs when they're implemented earlier than others because we're bringing goods in and shipping them right out. So let's just keep that in mind.
Operator: I am showing no further questions at this time. I would now like to turn it back to Ed for closing remarks.
Edward R. Rosenfeld: Okay. Well, thanks so much for joining us today. We hope you all have a great day, and we look forward to speaking with you on the next call.
Operator: All right. Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.